Operator: Good morning. My name is Adrian and I'll be your conference operator today. At this time I would like to welcome everyone to the AGCO Corporation 2011 Fourth Quarter Earnings Release Conference Call. (Operator Instructions) I would now like to turn the call over to Greg Peterson. Sir, please go ahead.
Greg Peterson: Thanks Adrian and good morning. Welcome to those of you joining us on the call and also to those of you joining us over the internet for AGCO’s fourth quarter 2011 earnings conference call. We will refer to a slide presentation this morning, which we have posted on our website at www.agcocorp.com. Included on the slide presentation are non-GAAP measures which are reconciled to the GAAP measures in the last section of the presentation. We will make forward-looking statements this morning, including those related to projections of earnings per share, sales, market conditions, margin and productivity improvements, commodity prices, farmer income, harvests, weather, market share, industry demands, the impacts of currency translation, new product development and improvements, plant expansion, investments, production volumes and localization, free cash flow, depreciation and amortization, and emission requirements, and the impact of the GSI acquisition. We wish to caution you that these statements are predictions and that actual events or results may differ materially. We refer you to the periodic reports that we file from time-to-time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2010. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. A replay of this call will be available on our corporate website. On the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. With that, Martin, please go ahead.
Martin Richenhagen: Thank you, Greg and good morning to everyone. 2011 was a very good year for the global farm industry. Farmers made record levels of income and commodity prices reached and remained at attractive levels. AGCO took advantage of these positive conditions and delivered a year of strong sales growth and margin expansion in the 2011 compared to 2010. AGCO’s adjusted operating margins improved 225 basis points in the full year of 2011, compared to 2010. Gary Collar’s Europe, Africa, Middle-East business delivered exceptional performance with industry demand below peak levels in Western Europe, our EAME’s region produced record sales on a constant currency basis and improved operating margins by over 400 basis points compared to 2010. In North America, we capitalized on healthy industry conditions, grew sales, and improved margins. Bob Crain’s North American business posted operating margins in excess of 5% for the full year of 2011, the best in over 10 years. Slide 3 summarizes our results for the fourth quarter and full year of 2011. In the fourth quarter, we reported sales growth across all of our regions compared to the fourth of 2010. Adjusted earnings per share reached $1.44 for the fourth quarter, up 64% compared to a year ago. In addition, our strong operating performance translated into improved cash flow. AGCO’s tractor and combine production volumes for 2010 and 2011 are illustrated on Slide 4. AGCO’s fourth quarter 2011 tractor and combine production grew 8% compared to the same period in 2010. Higher volumes in our North American and European factories were partially offset by lower production levels in our South American region. AGCO’s year-end order board remained well ahead of last year’s levels in our EAME and North American markets. South American order boards remained strong and are about even with 2010 year-end levels. We expect production volumes for the full year of 2012 to be approximately 5% up versus 2011. Slide 5 details industry unit volumes by region for the full year of 2011. Industry tractor sales in North America were up modestly compared to 2010 levels. In North America, industry sales of utility tractors increased due to improvement in the dairy and livestock sectors. Sales of high horsepower tractors remained elevated and were up slightly from the strong levels in the full year of 2010. As expected, combine industry retail sales were lower in the fourth quarter and were down 4% for the full year of 2011 from the high levels experienced in 2010. Industry tractor unit retail sales in Western Europe were up approximately 12% in the full year of 2011 compared to the weak levels experienced in 2010. Higher commodity prices and improvement in the dairy and livestock sectors contributed to this increase. Industry growth was strongest in Germany, France, Scandinavia and Finland. South American industry retail sector volumes decreased modestly during the full year of 2011 compared to strong levels in the full year of 2010. Declines in Argentina and Brazil were mostly offset by strong growth in smaller South American markets. Despite this slight downturn in 2011 industry retail sales in Brazil were still the second highest in the history. I will now turn the call over to Andy Beck, who will provide you more information on our fourth quarter results.
Andrew Beck: Thank you, Martin and good morning. Before I cover the sales results, I will start with a quick overview of the GSI impacts on our fourth quarter. AGCO completed the acquisition of GSI on November 30, 2011 for a purchase price of $932 million. The transaction was financed through $300 million of senior notes and the remainder through our new credit facility. AGCO’s fourth quarter reported results included a tax gain for a reversal of evaluation allowance against AGCO’s net deferred tax assets, which was associated with the acquisition accounting for GSI of approximately $149.3 million, as well as some onetime acquisition expenses. The tax gain and acquisition expense, a net impact of $1.46 to EPS, were excluded from the companies adjusted results. AGCO’s regional net sales performance for the fourth quarter and full year of 2011 is outlined on Slide 6. Currency translation had a negative impact of about 2% on AGCO’s consolidated net sales in the fourth quarter of 2011. Acquisitions added approximately 5% to sales in the fourth quarter of 2011, compared to the fourth quarter of 2010. The Europe, Africa, Middle East segment reported a net sales increase of approximately 15% excluding the impact of currency during the fourth quarter of 2011, compared to the fourth quarter of 2010. AGCO’s sales increased in every major market across Western Europe in the fourth quarter of 2011. The most significant improvements occurred in the United Kingdom, France, and Austria. North American net sales increased approximately 30%, excluding currency during the fourth quarter of 2011, compared to the same period in 2010. Sales improved significantly across all major product categories in the fourth quarter compared to the fourth quarter of 2010. AGCO’s fourth quarter net sales in South America grew 8% from comparable 2010 levels, excluding currency impacts. From a product perspective, sprayers, high-horsepower tractors and combines generated the growth. Higher sales in Brazil and some smaller South American markets were offset by declines in Argentina. Net sales in our rest of the world segment increased approximately 54% in the fourth quarter of 2011 compared to 2010, excluding the impact of currency. Sales growth in Russia, Eastern Europe, and Australia produced most of the increase. Parts sales were $293 million and $1.3 billion for the fourth quarter and full year of 2011, an increase of approximately 15% for the fourth quarter and 22% for the full year of 2011, compared to the same period in 2010, excluding currency translations. Slide 7 details AGCO’s sales and margin performance. Adjusted operating margins were up about 100 basis points in the fourth quarter of 2011 compared to the fourth quarter of 2010. The benefit of increased production volumes, pricing and leverage over operating expenses was partially offset by increased material cost and higher engineering and marketing expenses. Operating margins were highest than AGCO’s Europe, Africa, Middle East region where they surpassed 10% for both the quarter and the year. Margins improved nearly 100 basis points in the fourth quarter of 2011 compared to the same period in 2010 due to higher sales and production volumes and cost controls. In the South America region, our operating margins expanded nearly 300 basis points in the fourth quarter of 2011, compared to 2010. Improved sales volumes and a richer mix of products and geographic mix contributed to improved profitability. In the fourth quarter of 2011 operating margins in North America exceeded 7% due to higher sales and production, accelerated new product introductions, along with cost control initiatives. Slide 8 shows the improvement in North America’s profitability in more detail. Margins in this region have been one of our main focus areas over the last few years. You can see from the graph on this slide that we have made significant progress. For the full year of 2011, margins improved nearly 500 basis points on flat sales, compared to the same period in 2008. We introduced profitable new products, reorganized our sales organization, lowered our logistics cost and improved the efficiency of our factories. We expect more North American margin improvement by growing our top line through additional new products introductions, improving our existing products and strengthening our distribution. We also expect to take more cost out of the business by improving our production and purchasing efficiency and by localizing more of our production. In January, we began assembling high-horsepower tractors in Jackson, Minnesota for the North American market. This should eliminate some currency exposure and allow us to add the ‘Made in America’ label. Slide 9 looks at our depreciation and capital expenditure trends. We increased the investment in some of our plant productivity projects and new products during the year to support our growth and margin ambitions. In 2012, we expect to further increase our capital expenditures, as we continue to work to meet Tier 4 emissions requirements, refresh and expand our product line, upgrade our system capabilities, improve our factory productivity, complete the expansion at Fendt and establish assembly capabilities in China and in Russia. Slide 10 addresses AGCO’s free cash flow which represents cash provided by operating activities, less capital expenditures. AGCO’s free cash flow for 2011 of $426 million included $127 million benefit associated with transferring our European wholesale receivables from our higher cost on balance sheet securitization facility to our AGCO finance joint venture. As a result of this strong free cash flow AGCO has generated over the past few years, our balance sheet and liquidity position at the end of 2011 remain strong. In 2012, we plan to continue investing for growth and profitability improvement in the form of engineering expenses and additional investments in our plants and new products. Even after covering increased spending on these strategic investments, we are targeting another solid year of free cash flow for 2012. At the end of 2011, our North America dealer month supply on a trailing 12 months basis was as follows: Tractors were five and half months, three months for combines, and seven months for hay equipment. Other working capital details are as follows: Losses on sales of receivables, which is included in both interest expense net and other expense net, were approximately $6.4 million and $22 million for the fourth quarter and full year of 2011, compared to $4.6 million and $16.1 million for the same periods of 2010. On December 1, 2011, AGCO entered into a new credit facility agreement providing for $1 billion revolving credit in Tremont facility. We used a portion of the credit facility to fund the acquisition of GSI. The new credit facility replaces our former $300 million revolving credit facility. Our regional market outlook for 2012 is captured on Slide 11. Our forecast anticipates relatively flat demand on a global basis. In North America, the strong financial position of row crop farmers and the expectation of farm income above historical average is expected to support demand from the professional farming sector. We also look for improvement in the dairy and livestock sectors which will help our hay equipment demand in 2012. In South America, we expect the elevated level of farm income in 2011 and the clarity around government financing programs to keep demand at relatively high levels in 2012; however, dry weather is impacting the first harvest in southern Brazil and Argentina. We expect the dry conditions to result in a modest decline in industry demand, compared to 2011. Healthy income for grain and dairy farmers in 2011 is expected to keep Western European demand strong in 2012. We’re forecasting level demand in the Western European market. Better harvest in Russia and Eastern Europe in 2011 is expected to produce healthy growth in these markets in 2012. Slide 12 highlights the assumptions underlying our 2012 outlook. We’re forecasting price increases of approximately 3.5% on a consolidated basis offset by about 7% of negative currency translation impact. In 2012, expenditures on new product development Tier 4 emissions requirement will cause an increase in engineering expense of approximately 10% to 15% or $30 million. We also look for new products and our productivity in purchasing initiatives to drive improve gross margins. Our SG&A expense will include expenses associated with site and manufacturing, startup and market support cost amounting to $20 million for Fendt and $20 and $25 million for our Chinese operations. We project the GSI acquisition will be accretive to 2012 earnings per share by about $0.45 per share and the strengthening US dollar is expected to negatively impact 2012 earnings per share by about $0.35 to $0.40 based on the current exchange rate. Slide 13 lists our view of selected 2012 financial goals. Our order boards remain strong and we are projecting 2012 sales to exceed $10 billion even with the headwinds provided by the weaker euro. Forecasted pricing benefits, market share improvements and acquisition impacts will partially be offset by the negative impact of currency. Including significant investments in new product development, market development and startup cost associated with our manufacturing projects. We expect to continue to improve gross and operating margins from 2011 level. Despite the additional currency pressure we are facing, since we gave you our 2012 guidance in December. Our target for 2012 earnings per share remains at approximately $5 per share. We expect increased capital expenditures to be in the $325 million to $350 million range and our free cash flow to exceed $200 million after funding the capital expenditures. The improvements we are making in our European factories will impact the timing of production and sales throughout 2012. The production schedule at our Valtra plant in Finland ramps up slowly in the first quarter following the SAP system cut over on January 1st of this year. As a result, Valtra’s first quarter production in Europe will be lower than the first quarter of 2011, but the timing of Valtra production, the impact of dry weather in South America, the negative impact of currency, and startup cost in our Chinese operations we’re expecting our first quarter earnings to be about flat or slightly up compared to the first quarter of 2011. We expect some of these timing issues to be recovered in the second quarter which should be up versus 2011. That concludes our prepared remarks. Operator, we’re now ready to take questions.
Operator: (Operator Instructions) And your first question comes from the line of Andy Kaplowitz with Barclays Capital.
Andy Kaplowitz - Barclays Capital: Good morning guys.
Martin Richenhagen: Good morning Andy. 
Andy Kaplowitz - Barclays Capital: So question about your incremental margins in North America, you did talk about improvement in 2012, I think with cost reductions that can help, I am just wondering how much of the impact is currency related and how much can the Jackson plant really help that as we go into 2012?
Andrew Beck: When we look at 2012, certainly when you’re going to look at the North America results you are going to see a big improvement as a result of the GSI acquisition, but if you take that benefit out we are still looking for improvement in our results in North America. Most of the improvement is going to be volume related, where we still expect to see some growth as we pointed out in our comments from in the high-horsepower sectors as well as in the hay sector. And we still have some cost reduction initiatives that should carry through into 2012. The Jackson plant expansion, to handle high-horsepower tractors will help us a little, I think it is more on the sales side where we’re finding our dealers are very excited about the prospect of selling American-made high-horsepower tractors in the market.
Andy Kaplowitz - Barclays Capital: Andy, was anything happening though in the last few quarters that maybe put some more pressure on the incrementals at North America? I know it is a lumpy business, so I am not complaining about 7% plus margins, it is just there could be incrementals, they came down a little bit over the last few quarters.
Andrew Beck: Well, I think the difference there is the level of engineering expenses and marketing expenses that we’ve been incurring in North America. On the engineering side, there is Tier 4 investment as well as some new products we we’re working on and then on the marketing side, we are investing more in marketing expenses as a result to try to grow our business in North America.
Andy Kaplowitz - Barclays Capital: Okay, that is great. And Martin, obviously you were able to absorb $0.10 to $0.15 of currency impact and keep your guidance similar, is that just an issue out of box, conservatism or did something actually get better, is Europe actually looking better than you thought, at this point?
Martin Richenhagen: Not right now, no I don’t think so. 
Andrew Beck: I think from a standpoint of markets, that’s where we thought we would be with the exception of South America, where we’re expecting the markets to be a little lower because of the dry weather, but we feel that we can make that up with some margin improvement, as well as little lower tax rate than we had guided in our original guidance.
Andy Kaplowitz - Barclays Capital: Thank you, and then Andy the tax rate, what guidance are your giving? 
Andrew Beck: Our tax rate should be right around 30% to maybe slightly below 30%. 
Andy Kaplowitz - Barclays Capital: Thank you.
Operator: The next question comes from the line of Jamie Cook with Credit Suisse, North America.
Jamie Cook - Credit Suisse: Hi, good morning. Two questions, one, Andy, first can you just sort of give your color around what you are expecting within GSI and then the margin and revenue target or whatever, just to get to the $0.45? The $0.45 in accretion for till 2012, I guess that is my first question.
Andrew Beck: Okay, GSI where our revenue expectation is to be somewhere north of $750 million in 2012 and operating margin should be about 11% and that includes the amortization at good will or the amortization of intangible assets, so if you excluded that their margins would be north of 15%.
Jamie Cook - Credit Suisse: Okay and then I guess just a followup question. Can you talk about; I mean you didn’t mention in your guidance, any potential cost associated with growing the GSI business overseas. If you could just touch on that and then just a followup question on the margin side in North America for 2012 or you assume you are fully recovering to your forecast in 2012?
Martin Richenhagen: Jamie, the GSI export business, this is actually really a synergy because we don’t think that we need to add a lot of cost to the existing organization. Our dealers are very interested in helping GSI in markets like Brazil, India, China and so on and Greg will answer your second question.
Greg Peterson: Yes, so Jamie if you look at the Tier 4 expenses for both the US and North America and consider kind of other general material inflation which we’re saying is probably going to be about 2% to 3% next year. We do expect to cover that. This year our pricing, in terms of pricing versus cost was up about 100 to 150 basis points. And next year, we’re looking to be up about 50 basis points in terms of our pricing that we have in place. We’ve talked about the 3.5% pricing, there are plans call[ph] for and that does include pricing for Tier 4. So, if you throw in all the cost associated with Tier 4, we still expect to be probably about 50 basis points above in terms of benefit.
Jamie Cook - Credit Suisse: Great, thanks, I will go back in queue.
Operator: The next question comes from the line of Henry Kirn with UBS. 
Andrew Beck: Henry, are you there?
Henry Kirn – UBS: Hey sorry about that.
Andrew Beck: Alright. 
Henry Kirn – UBS: Headset problem here. On South America, can you give some color on how government incentive programs might impact the cadence of sales this year?
Andrew Beck: No impact at all I would say. The government (inaudible) financing programs that are very important to our customers to get low-cost financings have been committed throughout the full year of 2012. So that was announced in late 2011, so there has been no disruption from that point of view.
Henry Kirn – UBS: And could you talk little bit about the competitive dynamics in the market, thoughts on pricing, as well as your expectations for market share for tractors and combines?
Martin Richenhagen: I think you should ask CNH, why their margins went down so much? So, not us. So, I think it is a competitive market, but nothing changed so much.
Henry Kirn – UBS: One final one if I could, could you quantify or add some color to the healthy growth you expect for Russia and Eastern Europe? How much bigger could that be in 2012? I know, (inaudible) from ’08, ’09, and ’10?
Andrew Beck: We’re looking for our pretty significant growth out of that sector, somewhere in the 30% to 40% range. 
Henry Kirn – UBS: It is helpful, thanks a lot. 
Operator: The next question comes from the line of Steve Volkmann with Jefferies & Company.
Stephen Volkmann - Jefferies & Company: Hi, good morning. Andy, I think you mentioned that there were some one-time costs in the fourth quarter with respect to the acquisition and I am wondering if you could just ballpark those for us?
Andrew Beck: Yeah, it was almost $6 million and that would be in the SG&A line.
Stephen Volkmann - Jefferies & Company: Okay, did that go away for 2012 or does it continue for a year or so?
Andrew Beck: Yes, those are all relating to the transaction as such and so those go away.
Stephen Volkmann - Jefferies & Company: Great. Sorry if I missed this, but did you quantify the step-up accounting, amortization that sorts of goes of away after the first year?
Andrew Beck: Yeah, as it relates to inventories.
Stephen Volkmann - Jefferies & Company: Whatever you want to add in there, it would be great.
Andrew Beck: Okay, well I think you’re referring mainly to inventory write-ups that you have to do with acquisition. GSI luckily does not carry a lot of inventories, so that was a fairly minor amount. Some of that was washed through in the first month, so we took it in 2011 and it is very minor remaining balance for 2012. The only other item, as we have already mentioned is, a fairly significant amount of amortization of intangibles that will be running through our results and that will be for years to come and that is somewhere in the $30 million to $35 million range.
Stephen Volkmann - Jefferies & Company: Got it great and then just I was interested in your comments, maybe this was Martin talking about order books looking very solid, I am wondering if you would care to hook some numbers around that?
Andrew Beck: Sure. Our North America orders are up close to 40%, European orders are up about 50% and our South America orders are roughly flat.
Stephen Volkmann - Jefferies & Company: And then since those numbers are bigger than I would have guessed, what gives you the confidence that these markets should be flat given those types of order books? 
Andrew Beck: That is a good question. I think what has happened is that, you get in situation when you are analyzing your orders is that demand has improved significantly here in 2011 and customers want to be assured they’re going to get their product on-time and in the season when they want it and so you start to see people putting in their orders earlier and more consistently than you did in the past. Though, it is not necessarily an indication of all about what the market growth will be, but it is also about securing their orders from the next year.
Stephen Volkmann - Jefferies & Company: Okay. So when would I have delivery slots available in those two markets just kind of generically? 
Andrew Beck: Probably, yeah in later part of the second quarter.
Stephen Volkmann - Jefferies & Company: Okay. Thank you very much. 
Operator: The next question comes from the line of Ann Duignan with JPMorgan.
Ann Duignan – JPMorgan: Hi guys. Good morning.
Andrew Beck: Good morning Ann. 
Ann Duignan – JPMorgan: Can we talk a little bit about GSI again? Can you just remind us what were the revenues in 2011, just trying to compare the year-over-year growth?
Andrew Beck: Revenues in 2011 were slightly above $700 million.
Ann Duignan - J. P. Morgan: Okay. And then how do you guys go about forecasting that business? Is there a large backlog? Do you look at backlog to bill, or book to bill -- how are you arriving at the $750 million from 25 [ph]? Just trying to get a sense of how we should be forecasting that business?
Andrew Beck: Right. They don’t carry a large backlog. Their backlogs maybe one or two months and that’s pretty normal for them. So we don’t have enough visibility to say that we have got it, covered or anything like that. Their forecast is based on what their dealers are telling them, what they think is available in the market. So basic understanding of the market conditions and what customers will be looking for in 2012.
Ann Duignan - J. P. Morgan: And would it be your goal to kind of get them into something similar to the North America combines, like an early order program so you can get a sense of what the year is going to look like?
Andrew Beck: That’s a good question. We have to get in discussions with that team and understand whether that’s possible, but that’s not something we discussed with them, or at least I have discussed with them.
Ann Duignan - J. P. Morgan: Okay. Then I’ll switch to South America. Can you talk about your acquisition of the Sugar Cane Harvester in that region and when you will have that in the marketplace and when you might be able to spend some of the recent share losses in Brazil, in particular?
Andrew Beck: Well in terms of the Santal acquisition, we just completed it here in the first quarter, so we are starting to work with their management team to put together a plan of joint marketing of that product and the rebranding of that product in our AGCO brand and so that work and discussion is going on. But we know that there is a lot of excitement among customers and our dealers about the availability of that product going forward. So I would expect us to have more color and more visibility on how that is all going to sort out by the second half of this year. And we certainly think that will help us retain our market share on the tractor side because it allows us to have a full offering of equipment to those Sugar Cane customers. So that’s very important and was one of the reasons why we agreed to do the purchase. 
Ann Duignan - J. P. Morgan: Okay. And just finally if I could kind of similar, Kubota has been pretty vocal about making bigger acquisitions globally in the agricultural space. Can you talk about their recent acquisitions in Europe and if you are seeing any changes, probably too early, are you hearing or seeing any changes in the competitive environment just on the back up there -- more recent kind of aggressive acquisitions?
Martin Richenhagen: My observation is they made an acquisition of a pretty complex business which does not renovate important profits or maybe the opposite. It now serves a lot of factories, a lot of lands, it’s not -- let’s say at least (inaudible) yet. And the product, actually most of the product cannot be used beyond a Kubota tractor. So that’s my observation. I don’t understand why they were interested in buying Kverneland but you need to talk to them, I don’t know, I have no better information. I was somewhat surprised.
Ann Duignan - J. P. Morgan: So, you don’t anticipate much change in the near term in the competitive environment? I know it sounds like –
Martin Richenhagen: Not really. So we looked into that and we thought it’s not an acquisition which helps us and which moves the needle into the right direction using (inaudible) terms. So, I don’t understand why they did it. At the end CNH did get in the deal very late. So this company was for sale for, I don’t know, five years at least. So that’s a business which was on the market forever. And so I don’t know what is the strategy behind is.
Ann Duignan - J. P. Morgan: Okay. That’s good color, as always. I’ll get back in line. Thanks.
Martin Richenhagen: Thank you, Ann.
Ann Duignan - J. P. Morgan: Yes.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs & Co. 
Jerry Revich - Goldman Sachs & Co.: Good morning.
Andrew Beck: Good morning.
Martin Richenhagen: Good morning.
Jerry Revich - Goldman Sachs & Co.: Can you update us on the timing of your Argentina local assembly, when that is expected to come online and have you received any approval for imports into the market in the interim?
Andrew Beck: Jerry, yes, we are importing products and we have had numerous discussions and the sharing of plants with the Argentina government and so we are selling products in Argentina. It’s still probably not at the pace that we would like, but making little progress there. We are still developing the plants for the facility that we will be putting in Argentina. We expect to get started with that this year but that’s not a 2012 event when we will be doing anymore assembly activity in Argentina, likely be 2013. 
Martin Richenhagen: The deal that we normally do is that as soon as you have agreed with the government or have disclosed your plans for investments in local manufacturing in Argentina, they basically allow you more imports, let’s say, maybe that has a positive impact on our business.
Jerry Revich - Goldman Sachs & Co.: Sure. And that’s I guess what I am trying to get at what’s the extend of ramp-up that we will see in your import licenses once you do share the plan, you know, if you could give us a rough ballpark number, maybe, that you have seen from other industries or how to think about the increase in the number of licenses that will be great?
Martin Richenhagen: I think we can talk about that next quarter, so I think right now I have no idea.
Jerry Revich - Goldman Sachs & Co.: Okay. Andy, what was pricing and material inflation in the quarter?
Andrew Beck: Pricing was about 3.5% in the quarter and material inflation was close to 2%.
Jerry Revich - Goldman Sachs & Co.: And so Greg, you guidance assumes an acceleration from 2% to or call it 2.5%, at the midpoint of your range. Can you just talk about the drivers of that pick up, is it – presumably, it’s not specialty steel, it’s probably tires, but can you just say more on the drivers of the acceleration?
Greg Peterson: We are talking a little bit apples and oranges in the sense that the numbers that was turned out earlier dealt with some Tier 4 costs which aren’t completely immaterial, you know, there is some engineering and some other costs in there. So, I would characterize the material environment is relatively stable, but that certainly will change and we will watch it, we will try and price for it next year.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you.
Operator: The next question comes from the line of Ashish Gupta with Credit Agricole Securities.
Ashish Gupta - Credit Agricole Securities: Hi, good morning, gentlemen.
Martin Richenhagen: Good morning, Ashish.
Ashish Gupta - Credit Agricole Securities: Given Europe rather remains such a concern for investors, just wondering if you can provide any real-time information on perhaps the differences regionally and even on the financing side?
Andrew Beck: Well, I don’t think as we said, our order boards are still strong, we are seeing good order intake. So we haven’t seen any meaningful change in the market environment in Europe. Some of the weaker economies in Europe are not big agricultural equipment markets for us. And so far we haven’t seen much change from what we have been reporting in the last few months, or actually quarters, excuse me.
Ashish Gupta - Credit Agricole Securities: Great. And then -- just on GSI, I was just wondering if you can remind us about the seasonality of revenues there? And then for the quarter, I just wanted to make sure – was there any revenue or profit contribute of note and then or was it just the $5.6 million of the SGA impact that we should kind of be aware of?
Andrew Beck: Sure. GSI had very little impact this year on the fourth quarter 2011 basically, roughly breakeven. When you look at the seasonality of the business, the sales run roughly 20% in the first and fourth quarter each and 30% in the second and third quarter each. So it’s a second and third quarter seasonal business, we don’t expect to have much earnings accretion in the first quarter and/or the fourth quarter and that most of the earnings accretion will be in the second and third quarters.
Ashish Gupta - Credit Agricole Securities: Great. Just lastly, quickly I just wanted to kind of get an idea of your expectations for Santal over maybe like a three to five-year time frame in terms of how you think about expanding capacity, or increasing your position in the market? Thanks very much.
Martin Richenhagen: Well, when we bought SPIL [ph] the implement and drilling equipment maker, we were in a position to double their volume within a year about. I think this could be a plan for Santal but we didn’t look into that yet, so that means the volumes are low, so I think the demand is high. We will talk about that as soon as the deal is completely done and the company is integrated into our South American activities.
Ashish Gupta - Credit Agricole Securities: Thanks very much.
Operator: The next question comes from the line of Vance Edelson with Morgan Stanley.
Vance Edelson - Morgan Stanley: Thanks for taking the questions. You mentioned the importance of the ‘Made in America’ label, I am just trying to get a better feel for the current international flow of finished machinery and specifically how it is affecting the foreign exchange calculations? So in other words, if you are shipping a lot out of the South America and Europe into the US that would have an impact, so anything you can tell us about the current flow of equipments from where it is produced to where it is sold?
Greg Peterson: Right. So, Vance, in most of our regions what we sell in those regions are made in those regions. The exception or the slight exception that is in North America where about 25% of what we sell comes from our factories outside of North America. So for North America we get between 10% and 15% of our whole goods, we get from Europe, and then 5% to 10% come from Brazil and then we also bring in smaller tractors from India from Tafe. 
Vance Edelson - Morgan Stanley: Okay. That’s very helpful. And regarding Tier 4, just given the gradual implementation schedule, could you provide us a feel for where we are overall in terms of the associated expenses, since a lot of it already behind us or going forward, are there any hills and valleys we should be aware of or should be viewed as fairly steady over the next year or two?
Andrew Beck: I think, you have seen the ramp-up in engineering expenses that we have had from 10 to 11 and 11 to 12 and some of that is associated with Tier 4 for sure, others is our ambition on new products. But we are going to run a little north of 3% sales here in 2012 and I would expect that would be the run rate going forward. There is still a lot of work to do on Tier 4, if that’s kind of your question.
Vance Edelson - Morgan Stanley: Yes, okay. That’s great. Thanks a lot.
Operator: The next question comes from the line of Andy Casey with Wells Fargo Securities.
Andrew Casey - Wells Fargo Securities: Thanks. Good morning, everybody.
Martin Richenhagen: Good morning, Andy.
Andrew Casey - Wells Fargo Securities: Question, just a few follow-up questions, a lot have been asked and answered already, but revolving around the 2012 guidance, could you clarify what Euro-to-Dollar rate is now included in the outlook?
Andrew Beck: Right around the spot rates of today.
Andrew Casey - Wells Fargo Securities: Okay, thanks. Also, I am trying to understand the seasonality within the guidance for your $5 outlook. Are you looking for a similar split between the two halves that you had in 2011 given all the flux and takes you talked about earlier?
Andrew Beck: I’ll ball that right now. That looks about right. It looks like it’s going to be – probably a little more weighted in the first half, we should have a strong second quarter and then – but pretty close to 50-50 between the first half and the second half.
Greg Peterson: Andy, I will be happy to offline to give you a little more color, if you needed it.
Andrew Casey - Wells Fargo Securities: Appreciate it, I look forward to that, Greg. Thanks.
Operator: The next question comes from the line of Seth Weber with RBC Capital Markets.
Adam - RBC Capital Markets: Hi guys, Adam here on for Seth. Just wanted to drill down on Europe for a second, the Rabobank partnership there, any increase in the percentage of financing coming from that as opposed to local financing, first of all?
Greg Peterson: No, I don’t think we have seen any significant change.
Martin Richenhagen: Not in the budget at least.
Greg Peterson: From a financing standpoint, our end customers, I think, obviously we have got the financing availability through the finance company in our major markets. But I am not aware of significant or pullback from other financing sources at this point in time.
Adam - RBC Capital Markets: Okay, great. And could you also comment on the flow of machinery Eastward in Europe?
Greg Peterson: Well, as we talked about, that’s a major source of opportunity in Central and Eastern Europe and so we talked about a 30% to 40% growth in that market. And so we will continue to see products that we produce in Europe going that direction more and more.
Adam - RBC Capital Markets: Okay. Thanks
Operator: Our final question will come from the line of Joel Tiss with Buckingham Research.
Joel Tiss - Buckingham Research: Last and least, just made it.
Martin Richenhagen : Hi, Joel.
Joel Tiss - Buckingham Research: Hello. Just on inventories, you know they are running about 18% of trailing revenues, is that kind of a sustainable rate going forward or is it a little bit elevated because you expect a little more activity in the first half?
Martin Richenhagen : I personally think it is a little elevated because I always like the numbers to be lower and I think this time of the year really is.
Joel Tiss - Buckingham Research: Okay, so it is just the timing?
Martin Richenhagen : Yes, I think so.
Andrew Beck: Yes, I would like to see that number get improved as well. So, it is, the inventory situation is that we worked hard on getting it to where it is and getting all the production out, but I think there is opportunities there for improvement and efficiency going forward.
Joel Tiss - Buckingham Research: You guys kind of brushed over quick that dairy farming is getting a little bit better and some other smaller factors in Europe give you confidence that the year can be flat, but can you spend a little bit more time and give us some more granularity on some of the positives and negatives you are seeing there that give you the confidence for a flat forecast just so we can all get on the same page.
Martin Richenhagen : Actually, there are not too many negatives people talk about right now. The farm income last year has been extremely strong. The financial situation of most of the firm has improved a lot. We measure their mood so to say by having external companies doing surveys and they are willing to invest this year. So they are optimistic, and they are not only optimistic about 2012 but also more long-term. They think they are in a good business and that’s pretty much also what from us in North and South America think. It is a paradigm shift if you like.
Joel Tiss - Buckingham Research: Okay, thank you and just one final one quick, does this GSI acquisition start to put your talk about dividend into jeopardy? You were talking about that a little bit in December and I just wondered if we can have an update on how this acquisition changes that thinking or if there is any change there?
Martin Richenhagen : Andy will answer it, but it is just the opposite I think.
Andrew Beck: Yes, I think the GSI acquisition actually helps our chances in the future to offer a dividend to our shareholders and that the cash flow that GSI would generate in North America will allow us to have more -- generate more cash North America which frees up the availability to return cash to shareholders.
Joel Tiss - Buckingham Research: Alright. I appreciate you taking my questions, thank you.
Andrew Beck: Thank you.
Martin Richenhagen: Thank you.
Operator: I would now like to turn the call back over for closing remarks.
Greg Peterson: Thank you. Once again, we would like to thank you all for joining us today and we appreciate your interest in AGCO and encourage you to follow up later on with me, if you have additional questions. Thank you.